Operator: Thank you for standing by. This is today's conference operator. Welcome to the B2Gold Corporation's Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] The conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Mr. Clive Johnson, President and CEO of B2Gold. Please proceed.
Clive Thomas Johnson: Thanks, operator, and welcome to the call, everyone. We feel we had a strong quarter -- second quarter with strong operational and financial results. Across all operations, we are very pleased with our second quarter results. Fekola, Masbate and Otjikoto mines came in ahead of expectations in the second quarter on the production side, resulting in lower-than-expected cash operating costs per ounce at all three operations. The operations continue to run well, and we expect to meet our annual guidance. Additionally, a big milestone on June 30, 2025, we celebrated the inaugural gold ore at our newly constructed Goose Mine. This marks a transformational moment for B2Gold and is a true milestone for our staff and partners who have worked tirelessly to reach this achievement. At Goose, the focus now turns to continuing steady state operations and increasing throughput, full design capacity ramp up to commercial production, which we expect to be achieved in September 2025, which is quite a rapid ramp-up 3 months, and that's typical of our track record of history. In Mali, we have received some very positive news in our view, and that's the state of Mali granting approval to commence underground operations at Fekola. This includes stope ore production, which has [indiscernible. The approval follows a productive week of meetings with senior management and several key individuals in Mali, including the Prime Minister, the Minister of Finance and the Minister of Mines that advised the Mali government. I think this is a really important point because for those that are concerned about the future of gold mining in Mali, this clearly underlies the fact that the government of Mali is cooperating with B2Gold, wants B2Gold to be in the country and operate the Fekola mine and the regional expansion. So the next step is working with the state of Mali to realize the exploitation license for the Fekola regional and we're looking to see that in the short term, expecting approval in third quarter of 2025. During the second quarter of 2025, we also announced positive results of the 2025 Gramalote feasibility study, which demonstrated that Gramalote has meaningful production profile and positive project economics. We're working on permitting, but that involves coming in with a reduced footprint in the production of Gramalote and we already have a permit. So it's a matter of coming back and modifying the permit application. This strong gold price environment means growth as well, so [indiscernible] gold production of four million ounces this year. And with the majority of growth capital spending at now complete, the company is set up well to add significant shareholder value over the coming years, including production from the Fekola region. But we are looking forward to another strong quarter operationally and financially and as I said, looking to meet our guidance for 2025. So with that, I think I'll turn it over to Mike Cinnamond, who's our CFO, and Michael will give you a quick review of some of the financial highlights. And then we'll have Bill Lytle, Senior VP of Operations, talk to us to give us a quick update on produce. And then we'll open up for questions. So Mike, over to you.
Michael Andrew Cinnamond: Thanks, Clive. I mean, financially, it was a strong quarter. Our basic earnings per share were $0.12 per share and adjusting for onetime items, which were actually offsetting, we actually realized $0.12 per share of adjusted earnings. And fair to say that, that definitely benefited from a strong average gold sales price. And just to maybe touch on the sales point too, we were slightly behind budgeted sales ounces in the quarter, but that was purely on a timing basis, the timing of shipments from several of the sites that those ounces were shipped out just after the period end and sold in early July. Operating cash flow side, operating cash flow before working capital adjustments was $301 million in the second quarter, another strong result and again, highlights the cash generation potential of our operating assets and this gold price environment. Balance sheet-wise, we continue to remain in a strong financial position. We've got cash and cash equivalents of $308 million at the end of the second quarter. And also at the end of the second quarter, we had the full $800 million available on our revolving credit facility, which was undrawn plus a $200 million accordion feature. I will say that subsequent to June -- the end of June, we did draw down $200 million on the revolver. And that was just -- that was to help us manage working capital requirements as we start to deliver into our gold prepayment commitments over the 12-month period from July '25 to June '26. In fact, we have already delivered the first tranche of those. So we're starting to unwind that position. With continued strong performance across the portfolio and the ramp-up of Goose, which is now well underway, we were pleased to restate and reiterate our production guidance for 2025 unchanged with full year production expected to be between 970,000 and 1,075,000 ounces, and we expect Goose to still contribute between 120,000 to 150,000 of those ounces. Again, on the positive side, with lower-than-expected cash cost per ounce at the existing three operating mine sites Fekola, Masbate and Otjikoto. We're pleased to announce that the company has reduced its consolidated cash cost guidance range for those three operations to between $740 and $800 per ounce sold -- or produced, sorry. This is lower than the previous guidance range of between $835 and $895 per ounce. And then with the inclusion of the post-commercial production estimates for the Goose Mine, I remind you that we expect Goose to come into commercial production in September. Consolidated cash operating guidance is now forecast to be between $795 and $855 per ounce. And overall, on a liquidity basis, we continue to maintain a good amount of financial flexibility to be able to allow us to complete our remaining ramp-up of construction activities at Goose to fully repay or deliver into the gold prepays entered into -- in early '24 and to complete the other sustaining and growth initiatives across the portfolio, and we'll continue to fund healthy exploration programs as well, which we expect will extend mine lives. And with that, I'll turn it over to Bill for an operation and project update.
William Lytle: All right. Thanks, Mike. I just got back from the Goose, so I may be a little Ferrell during this, so bear with me. As Mike said, on the three operations, we expect to meet or exceed all of our targets for the year, but probably what everyone wants to talk about is Goose. So just going back to what has been completed there. Goose, all the major construction activities, which required -- were nearly completed at the end of the quarter, and the mine ramp-up is now well underway. The focus for the third quarter now turns actually to optimizing the current operations and increasing the throughput to full capacity. As Mike indicated, a ramp-up to commercial production is expected in September 2025. Things which were completed in the first half of 2025 at the Goose include the completion of the mining of the Echo pit. Remember, that was our tailings facility and commissioning. So we are now placing tails in Echo. Full ramp-up of mining of the Umwelt open pit in the second quarter. We also had continued development of the Umwelt underground. We completed the Fresh Air Raise 1 already and in the process of developing Fresh Air Raise 2, which will be needed in the second half of 2025. We commenced dewatering of the Llama pit. All these things are required to run the mill correctly. This provides freshwater and reclaim water to the mill. We developed the Umwelt open pit and underground, and that remains a priority to ensure that the adequate mill feed volumes are maintained. If you look at around the other operations, Mali continued its strong performance for 2025, exceeding gold production expectations again in the second quarter. As Mike said, cash costs per ounce were also lower than expected. Underground after meeting with the government last quarter -- last month, the underground production has commenced as announced on July 30. The underground development is well advanced with over 9,300 meters of development work plus the installation of all required underground mining infrastructure, having all been performed prior to commencing production. If you remember, we were actually given a permit to do all the development. So even though we were 30 days late on the starting of mining of ore, we, in fact, continue to develop right up until July 30. So the question I've heard or being asked several times is whether or not we think we're going to get the ounces required from underground, we absolutely see a path to make sure that all the required ounces from underground will be delivered in 2025. The regional project, we continued with our meeting with them. We continue to work with the state of Mali to finalize the approval of the regional exploitation permit in the third quarter of 2025, just kind of late breaking. We've actually had our first technical session with them this morning. We absolutely see a path towards getting this permit. B2Gold is ready to commence pre-stripping activities with the Fekola regional infrastructure. Remember -- once again, this was one of those facilities where they allowed us to do all of the infrastructure development. So the haul road is in place and all the infrastructure is already in place. We're just waiting on a permit to start pre-stripping. Subsequent to June 30, 2025, the Fekola mill celebrated a significant milestone with 4 million ounces of gold produced since the inception of the project. At Masbate, the operations continue to perform well with a world-class safety track record, which I think we announced more than 2,400 days without a lost time incident. Mine production significantly outperformed expectation, and we anticipate consistent production in the second half will result in strong 2025 performance and robust margins. Otjikoto is also going very well. The open pit and underground went well during the second quarter with production also exceeding expectations. During the second quarter, remember, we're working on this Antelope deposit. So we continue to focus on developing that with a target release in the third quarter of 2025. And then the other development project is Gramalote. We released the positive feasibility study. Work has commenced on the modification of the work plan and environmental impact study, and we expect to be complete in late 2025 or early 2026. We anticipate that the permit modification time frame should be approximately 12 to 18 months. With that, Clive, I'll turn it back over to you.
Clive Thomas Johnson: Okay. Thanks, Bill. Operator, we're ready to turn over to questions.
Operator: [Operator Instructions] And today's first question comes from Fahad Tariq with Jefferies.
Fahad Tariq: In the press release, it mentioned lower-than-anticipated fuel costs in a number of places, not just at Fekola, but also Masbate. Can you just maybe talk about what the expectation was at the beginning of the year when you set guidance? And I'm just curious why it's trending lower than expected?
William Lytle: Mike, do you want to take or do you want me?
Michael Andrew Cinnamond: Well, I can start -- I'll start. So -- well, when we budget, we typically have a look at the forward curves on the fuel side, usually around September, October. So we use those as the base. And then what we just -- what we've seen and what's been realized with the sites is that, HFO has been about 9% lower than those prices over the first 6 months of 2025 and diesel it's actually been more -- it's been something more like 13% below. So we made our best estimate back when we set the budget, probably somewhere around the October price because we do our budgeting and sort of finalize it up in early November. And all I can tell you is as we've looked forward, we have taken into account those lower fuel costs when we're looking at the reguidance that we put out on the cash operating side.
Fahad Tariq: Okay. That's helpful. And then on Goose, there was a comment about the CapEx guidance for the second half of this year, $176 million. I'm just trying to reconcile just the overall CapEx at Goose relative to, I guess, what the project guidance -- project CapEx guidance was before, and I think it was reiterated in the May release. Can you just maybe help us walk through that? Like is -- I guess the other way of asking is, is that second half CapEx guidance of $176 million, is that consistent with what you were expecting?
Michael Andrew Cinnamond: Yes. Again, I can start with that and Bill can jump in. I mean, overall, on the project, we did see some acceleration of costs as we worked our way up to the first go for at the end of half 1. So we probably saw somewhere around about 5% overall and cost increases against the budget. Then what we also experienced as we ran up to that is we did accelerate some CapEx, CapEx that would have been in half 2 in the tech report and actually a little bit from future years, and that totaled about somewhere in the region of $60 million. And then we also had what we've described in the MD&A and disclosures, we had some mill and process plant upgrades somewhere in the region of $40 million. So approximately $100 million between those two where we pulled stuff forward from second half or -- and then about $40 million that we've added in to the second half. I think that's for further mill and process plant upgrades. And I think Bill can talk to those a little bit.
William Lytle: Yes. Really relating to upgrades, I would say, once again, it was really operability or availability of the mill. One of the things that as we got in and building, we realized a lot of the lines didn't have the necessary valving and piping, the redundancy built in, the ability to do maintenance on the mill while it continues to operate. So we added, I think I saw from the finance group approximately an additional $26 million on the mill side related to kind of what I would call upgrades or improvements in availability. And I'd say that really relates to a lot of that small stuff, additional pumping, piping, valves and installation of all that stuff.
Operator: Our next question comes from Wayne Lam with TD Securities.
Wayne Lam: Congrats on a good quarter and getting the Fekola underground permit. It seems like you have some good momentum in Mali now. Just wondering what the mechanics would be in terms of getting the Fekola regional permit and what the final points of negotiation might be? And any potential hurdles to getting that permit by the end of Q3?
William Lytle: Yes. So we -- as I said, we went down and we met -- we met with the Minister of Mines. And during discussion, it almost seemed like -- for them, the regional permit has kind of dropped off because they were dealing with some of the other mining houses issues there, which shall not be named on this call. But once we brought it forward, quite frankly, they were a little embarrassed that they hadn't done it yet. And so they immediately agreed to try and get this thing pushed out by the end of Q3. That was their schedule, not ours. And they immediately agreed to set up a commission and start working on that. So that happened this morning. We haven't heard any outstanding issues other than to hear that it wasn't a yell fest. It wasn't an argument. It was a very constructive discussion, which we think leads to the permit.
Wayne Lam: Okay. Great. And then maybe just wondering in terms of the ramp-up of Goose relative to the mine plan, you guys had outlined in the plan 125,000 ounces this year, which would be at the lower end of the guidance. It seems like you've been making some good progress there just on the stripping of the Echo pit and the development. But just wondering where you guys kind of see the opportunities to outperform what's been outlined in the plan. Is that on the plant performance? Or is there an upside on the grade profile as well?
William Lytle: I would say both at this point. Once again, you're asking questions right at the front of commissioning. So certainly, we have an aggressive ramp-up plan, but historically, we've been able to beat that. So there is some potential there. There's also some potential as we start to move out of kind of the Echo low-grade material, which remember, the Echo pit was never designed to be kind of a high- grade feeder into the mill. Into the Umwelt pit, if we can get our head around how can we mine that quicker, certainly, there is some potential there. And so I would say not only on the mill ramp-up side, which admittedly a 3-month ramp-up is aggressive versus many other of our peers, but not really aggressive versus what we've historically done and then on the Umwelt side, if we can get additional grade from the open pit.
Wayne Lam: Okay. Great. And then maybe just last one, maybe just a follow-up on the CapEx side. Just given the increase in CapEx relative to the $270 in the mine plan, just wondering how much of that would have been brought forward from 2026? Just trying to figure out if maybe we should be anticipating a lower CapEx number relative to the $140 million outlined for next year in the mine plan?
Clive Thomas Johnson: Mike...
Michael Andrew Cinnamond: Okay. So you're talking about what may be pulled forward from '26 in the second half? Is that what you're asking?
Wayne Lam: Yes.
Michael Andrew Cinnamond: Well, I think there's some site infrastructure upgrades where Bill is doing, I think, what he wants to do to pull, to enhance both the MLA and the site that they're about $15 million. There's -- as Bill mentioned, there's $26 roughly related to the mill. So there's $40, let's say, that are -- I think we didn't have to do this year, but we wanted to, to enhance it. And then there's some prepayments on some generator additions that we have. There's another $24 million. So it would be more than $60 million that would be pulled forward from future years.
Operator: The next question is from Ovais Habib with Scotiabank.
Ovais Habib: Congrats on a good quarter. Just a couple of questions from me, starting off with Fekola maybe. In terms of the mine plan sequencing for Fekola kind of going into 2026, does that change now that you have the Fekola underground permit in hand?
William Lytle: So remember, we always talked about having it after Q2. So our life of mine showed it really coming online in July. So the underground permit doesn't really change it other than we have done a little bit more development than what was in the life of mine. So we may be able to steal some additional ounces, but I really think that's more of a 2025 issue, not a 2026 issue. And as far as 2026, we're still working on the budget and where we're going with that. So I don't really want to comment on where the ounces will come from in 2026 just yet.
Ovais Habib: Got it. And then just, Bill, in terms of -- what would be the current grade of the underground stockpile that you have on site? And what would be the grade that you're expecting from the stopes that you're currently mining?
William Lytle: You're talking at Fekola?
Ovais Habib: Fekola underground, yes.
William Lytle: I don't -- I'd have to look that one up for sure. Let me just -- I did actually report to the Board what it is. So -- let me come -- during this call, let me come back to you on that.
Ovais Habib: Sounds good. Sounds good. No worries. And then just kind of moving on from there. In terms of -- you're targeting about 25,000 ounces from the underground in 2025. I guess this is kind of my follow-up question from my previous one, but is there a target that you have in mind for 2026 for the Fekola underground that's kind of -- is there a range that you can talk about right now?
William Lytle: Yes. So remember, we always talk about the fact that we thought we could produce about 80,000 or 100,000 -- between 80,000 and 100,000 ounces of the underground. But remember, that replaces lower grade ounces. So the reality is you're going to get kind of probably 50% of that. So we're kind of targeting that 50,000 ounces a year. And just coming back to your previous question, I see the total underground tonnes mined, this is kind of development, which is on the stockpile right now is about -- just about 35,000 ounces at just like 2.7 grams per tonne. And then once again, I'm speaking out of turn, but we're at least double that in the stopes we'll be mining.
Ovais Habib: Got it. And then just moving on to the regional permit side. Assuming you get the permit by the end of Q3, is that what you're targeting? Are you comfortable with the 160,000 to 180,000 ounces of production in 2026? Kind of -- that's kind of going by the tech report that was presented earlier this year.
William Lytle: Yes. I mean there's no changes to what the actual mining looks like from the tech report. Clearly, once again, in the budgeting process on where the ounces are going to come from, that may shift around some, but the ounces haven't changed from the regional from what was on the tech report.
Ovais Habib: Sounds good. Okay. And then just quickly moving on to Goose. I'm really looking forward to that commissioning of the Goose in September. Bill, how is underground development progressing there? And do you have kind of now the right people and equipment in place in terms of what you were targeting for the underground? This is at Goose.
William Lytle: Yes. So first of all, I remember like when I first joined these calls, Clive declaring, I think, to you that you only get three questions. So let's start with that. This is question #4. I'm going to take it. Things are going well. We've kind of hit our stride. We have, as you know, turned over a bunch of people in the underground. We have -- there's a new mining manager, which came in this year, new technical services manager. All those people are in place. We also brought in additional equipment on the [indiscernible] program this year for the underground, so the answer is yes. We now have the right people. And yes, we now have the right equipment. There really isn't an excuse for the site not to be able to deliver.
Operator: [Operator Instructions] Our next question is from Anita Soni with CIBC World Markets.
Anita Soni: I'm just going to ask 2, so that I will make up for Ovais' extra question there. First question was your commercial production. What's your definition of commercial production? I just want to clarify because everyone has different definitions.
William Lytle: Yes. I think it's the same thing we used at Fekola and Otjikoto. So it's like, an average of 65% nameplate throughput over 30 days.
Anita Soni: Okay. And then what's -- from your perspective, what's the next milestone in terms of like the ramp -- like, I guess, it's year-end, what are you targeting for -- like what's the throughput ramp-up you're hoping to get to by year-end? And then for how long?
William Lytle: By year-end, we want to be at that nameplate, 4,000 for sure.
Anita Soni: Nameplate, 100% for the whole quarter?
William Lytle: Well, I think it's like 92% or 93% availability. It's something like that. I forget what it will be in the tech report.
Anita Soni: Okay. And then last question, I guess, so I did ask three. Just in terms of the optimization plans that you're looking at. In terms of the -- doing a winter ice road less than -- I think you said less than annually, what would that entail? I would assume that it was kind of a -- is there a way to do an ice road that's like not at the ice road timing? Or was it every other year? Or what are you looking at like every 15 months or so? Like I'm just trying to understand that phrase.
William Lytle: Yes. Well, it can't be every 15 months. The ice road must be almost always between February and kind of that May 1, let's say, May 6. So that is the ice road date. The question you're asking is actually one that -- that's almost like engineering interest. So the question really revolves around fuel is the first problem. If, in fact, you need 80 million liters of fuel, which is what we're sending down the road every year right now, it would have to be every year. But now let's say -- because we just don't have to tank it to do anything less than that. But now let's say that we actually are successful by putting these medium-speed generators in, which saves about 10% of that. And then you say, okay, now we're going to put our wind farm in, which is 50 megawatts. Could you get to a point where the number is less than half, then you suddenly say, okay, now can I increase my reagents to make up that difference in the off years and do it. Those studies there are obviously very preliminary, so much so I'm not convinced that 80 million liters is actually what we're going to use this year. For example, right now, we're sitting here in August, and we still have 70 million liters of fuel sitting on site. So how does that really add up once you get into full production, and we just don't know yet.
Anita Soni: Congrats on some strong ops this quarter.
Operator: The next question is from Lawson Winder with Bank of America Securities.
Lawson Winder: Well done on the permitting success in Mali. What I wanted to ask is, more around jurisdiction as it pertains to Colombia, in particular, and Canada. So acknowledging B2Gold's historical success at being jurisdictionally agnostic and focusing on asset quality instead, I think feedback from the market would suggest that the market likes the pivot to Canada. How do you think about assets in Canada? And what's B2Gold's appetite to add more assets in Canada? And then conversely, how does Colombia then stack up in terms of jurisdictional risks? And is that at all a headwind today for a potential sanctioning decision on Gramalote?
Clive Thomas Johnson: Yes. I think we're definitely interested in doing more, more things in Canada. But once again, we're project driven. From a geopolitical point of view, we want more diversification. So definitely, we're looking for additional opportunities in Canada. Gramalote in Colombia, we quite like what's been happening there. I mean we do have a permit for our larger operations. So we need to go back and modify that permit. But we've had very positive support in Antioquia, local population and government in Antioquia and also some segments of support from the federal government as well. But I'm glad you raised the question because I want to segue a little bit into talking about M&A. We will not surprise the shareholders with a development project M&A. We're very disciplined. We build one mine at a time. And we think Gramalote looks very interesting as a project for us to do financially, we'll be in a strong position to do that. And we like what we see in the feasibility study. I think it will be a very good project for us. We've got to get through the permitting process and then make a decision when we go forward. But I just want to underline again, no M&A for development projects. Potentially in the future sometime if we find an opportunity to increase our gold production through some kind of a deal, we will have a look at that of course, it just makes sense. But at the end of the day, we're not going to surprise the market with a major acquisition of a development project.
Lawson Winder: Fantastic. And if I could just get one more in on Goose. In your update earlier in the year, you highlighted the potential for an expansion in the processing capacity. Today, now that you're approaching commercial production, what's the latest thinking on timing of that expansion of processing capacity? And has there been any change in thinking on the magnitude?
William Lytle: Is this a what have you done for me lately, question?
Lawson Winder: Fair enough.
William Lytle: All right. So the answer is, as you know, we've got several studies in the hopper. One would be we got a flotation circuit, which you might be able to add. The other is, would you put -- expand the mill capacity, go up to something like 6,000 tonnes a day. Those are all due really -- first look by the end of this year. And so I think we're -- I can't remember we're talking Q1 next year, we're talking about putting it out the results. But at the end of the day, those are very, very early on in the study where they go. But we think they're all very real. And just so you know, we talked about some of these optimizations. The mill will run at more than 4,000 tonnes. It's just a question of can you keep the availability up. So by doing -- by increasing some of these optimizations we've already put in, like I said, these valves, piping and everything, there is the potential we could just squeak out some additional capacity as it currently stands. No promises. We're saying 4,000 tonnes a day.
Operator: And the next question comes from Francesco Costanzo with Scotiabank.
Francesco Costanzo: Sorry, I didn't mean to jump in the question queue here. I think Ovais and the others have already asked all the pertinent questions. So apologies for that.
Operator: And the next question comes from Don DeMarco with National Bank Financial.
Don DeMarco: So it sounds like things are moving along well in Mali now. I mean you've got -- we'll look to the regional permitting. But [Technical Difficulty] what was the reason for the delays? I mean was it the government focusing on Barrick and maybe other stuff? Or is this kind of the norm in Mali? I mean [indiscernible] benefits from optimal mine performance from a tax point of view.
William Lytle: Yes. So maybe I'll take that, we were just down there. There's a couple of things there. Remember, there was this whole shift in the government. And they readily admitted that they didn't really know who is doing what. So you had the Minister of Finance working on this kind of updated mining code and the Minister of Mines didn't know where his mandate ended and the Minister of Mines started. We highlighted that. We had a chance to meet with the Prime Minister, and they were visibly embarrassed and said that, that's a nonstarter for them and they will get it rectified. So certainly, I think some of the other mining issues in Mali play a factor. I think the fact that there were some big disputes out there that they had to pay attention to took up some of their bandwidth, but ultimately, they also didn't really know what each other was doing. I will say that all three ministers we met, we met Minister of Mines, Minister of Finance and the Prime Minister, they all apologized perfusely. They all said that they're committed to getting this done. Remember, this is -- they've got a big stake in this, too. So they want to go as quickly as they can, of course, legally to get us this permit and get us going.
Clive Thomas Johnson: Maybe just to add a little bit -- if I can just add a little bit to that, similar to one of the questions you've asked about further negotiations with the government to get the permit for the regional. There is no further negotiations. We're enacted the terms negotiated in the MOU last September to sort of clarify that. We're not in a negotiation mode. We're just getting the permit done and working closely with the government to do it. As Bill touched on, revenue side for the government of Mali, which obviously they [indiscernible] the fastest way for them to get revenue from gold mining, would be to get us that permit because they own 35% of the regional. So they're on the same page as us wanting to get that permit and get going with this, as soon as possible.
Don DeMarco: Okay. That helps. That certainly clarifies things because that would have been our impression as well. So that's encouraging for the future. But sticking with Fekola then in Mali. So I saw production is up 35% quarter-over-quarter, grades are elevated. So Bill, do you expect this to continue into H2? What was some of the drivers here in Q2?
William Lytle: Well, some of the drivers really revolved around being -- finding additional ore kind of on the margins of what -- where the resource model was. And it was -- quite frankly, it wasn't higher-grade ounces, but it was ounces -- it was tonnes that would have been considered waste that we ended up being able to process through the mill. We also had a very good run with the mill. The mill had a very good quarter. And those were the two main things. So, obviously, I can't predict what's going to happen outside of the resource model in Q3 and Q4, but the mill is kind of firing on all cylinders. And one of the things that we've been very open about is that, even if we don't get tonnes or get ounces from the regional stuff into the mill in 2025, we still feel very comfortable with our range that we put out there. And so that obviously would mean that we're going to get additional ounces from somewhere else.
Clive Thomas Johnson: That was the pre-stripping.
William Lytle: Yes, Clive, it's actually a good point. Even if we get the permit in kind of, let's say, August or September, there is still a pre-stripping campaign, which we have to do before we can start trucking tonnes down to the mill.
Don DeMarco: Okay. Okay. And then just for a final question, shifting over to Goose. I see that the ASIC for Goose is lower than what it was in the tech report by a bit. What are some of the efficiencies that would explain this delta -- favorable delta? And is there a read-through for lower cost at Goose in 2026 versus the technical report? Or is some of the CapEx that you kind of pushed forward also provide read- through for lower ASIC in 2026?
William Lytle: Maybe I'll talk and then I'll let Mike correct me. So when we wrote the technical report, really, the information we had was what was created by Sabina for the feasibility study and the actuals we had during construction, right? And so in construction, there's all these inefficiencies where you're flying stuff in, you've got the wrong crew. What we've seen as we've now been able to tighten that up and particularly around the mining side is that we're probably a little bit worse than what Sabina had promised the world, but a lot better than what we had seen as kind of a developer. And so I do believe that the costs that we're now presenting on the mining side, in particular, and hopefully on the milling side will carry through. And we're going to see those -- I think -- I can't remember what we said they were ultimately going to be our all-in sustaining costs, but they were coming down, and we do see those as real.
Michael Andrew Cinnamond: I'll only add part of the -- part of the impact in '25 numbers is we're using post-commercial production, which is basically post September. So you have a production split there between Q3 and Q4, but you also have some of this CapEx that we pulled forward and accelerated. So it's already incurred. So that has some impact on the post-commercial production numbers.
Operator: And the next question is from Carey MacRury with Canaccord Genuity.
Carey MacRury: Congrats on the quarter. Maybe just a question for Mike on the accounting around Goose now that you're ramping up production. Are we going to see OpEx starting from now at Goose or is that going to come after commercial production?
Michael Andrew Cinnamond: No. Yes, you're right. Like in the new world order has been for a few years, all results will go through the P&L and all production reported [Technical Difficulty] post commercial production.
Carey MacRury: And that's baked in the OpEx guidance you've given us, I presume?
Michael Andrew Cinnamond: Yes.
Carey MacRury: Yes. Okay. And then maybe just back on Fekola Regional, assuming the permit comes in the near future here, is that still an attractive area from an exploration focus? Or do you see better opportunities elsewhere, just given the economics of that area now?
Michael Andrew Cinnamond: I'll get to answer the exploration upside. Yes. One of the areas that we see upside is the -- beneath the oxide resources that pretty much covered, and we have sufficient oxide ounces to keep us going there for quite a while. So the big push is to actually pursue higher grade fresh or sulfide material beneath the pits or -- beneath the oxide zones within the Fekola regional. And that's really where a lot of the oxide is. The other is looking at the underground, obviously, pursuing that as we develop the underground, we'll be able to drill down plunge. So there's nothing to suggest that, that is closed off. We'll certainly be pushing that forward. And there's also a potential for picking up parallel shoots to the main zone at Fekola underground as well. So that's really where the potential is. On Dandoko, which is part of the Fekola regional, I think we've pretty much covered that. There's not a hell of a lot more there, but that's it really.
Clive Thomas Johnson: Can you speak to your exploration budget?
Michael Andrew Cinnamond: Yes, we have $62 million budget or globally. Bulk of that is at Goose, just about half. And then obviously, ongoing drilling in Mali, pursuing extensions of the Antelope deposit in Namibia and also looking at potential for surface material in Namibia to complement and to help the throughput as we look down the road at Otjikoto. It needs more than just the stockpile to blend the high-grade ore material that we have there. So that's where it's at and then also pursuing new areas using and leveraging off our experience in Masbate in Philippines. We're looking at opportunities in within our movement, but that's all very early stage. I guess that's where we're at.
Carey MacRury: Okay. Great. Maybe one last question for me. Just on Gramalote again. Were you guys -- did the feasibility study kind of meet with what you're expecting? And I guess what I'm asking is, if we get through the permitting for the next 12 to 18 months, right in a $3,000 gold environment, how likely is this to move forward?
Clive Thomas Johnson: Well, I think we -- like what we saw in the study, it didn't come as a surprise to us. There's been a ton of work done over the years by EGA and by ourselves and by the combined joint venture over a long period of time. We know 100%, of course, but there's a lot of technical work and a lot of studies that happen before really [indiscernible] it's what it is. So I think it's well defined. So we had expected the feasibility study to be close to the PEA. And I think when you look at that project with the potential to produce 240,000 ounces a year, the gain in Gramalote, there aren't many of those rounds. We own 100%. We don't buy it. We like the economics. And I don't know how you would -- if you don't build that, what are you going to do in terms of projects such as gold mines that you own, and we believe it's in a good jurisdiction. So at the end of the day, right now, I would say it looks very favorable, also a part of the upside of capital from the company.
Operator: [Operator Instructions] And at this time, there are no further questioners in the queue. And this does conclude today's question-and- answer session. I would now like to turn the conference back over to Clive Johnson for any closing remarks.
Clive Thomas Johnson: Thanks, I think you asked good questions, and I think we covered a lot of ground there. One final question I have for the analysts, if anybody can figure out the market, I'd like to know how you can come up with a good quarter like that and see the stock down. That's a bit of a surprise, but the market always have surprises for us, I guess. So thank you very much for participating in the call.
Operator: Today's conference has now concluded. Thank you for attending today's presentation, and you may now disconnect your lines, and have a pleasant day.